Operator: Good morning, and welcome to Horizon Technology Finance's yearend 2015 conference call. Today's call is being recorded. All lines have been placed on mute. We will conduct a question-and-answer session after the opening remarks. Instructions will follow at that time. I would now like to turn the call over to Megan Bacon of Horizon for introduction and the reading of the Safe Harbor statement. Please go ahead.
Megan Bacon: Thank you. And welcome to the Horizon Technology Finance fourth quarter 2015 conference call. Representing the company today are Rob Pomeroy, Chairman and Chief Executive Officer; Gerry Michaud, President; and Chris Mathieu, Chief Financial Officer. Before we begin, I would like to point out that the Q4 press release is available on the company's website at horizontechfinance.com. Now, I will read the following Safe Harbor statement. During this conference call, Horizon Technology Finance will make certain forward-looking statements, including statements with regard to the future performance of the company. Words such as believes, expects, anticipates, intends, or similar expressions are used to identify forward-looking statements. These statements are subject to the inherent uncertainties in predicting future results and conditions. Certain factors could cause actual results to differ on a material basis from those projected in these forward-looking statements. And some of these factors are detailed in the Risk Factor discussion in the company's filings with the Securities and Exchange Commission, including the company's Form 10-K for the year ended December 31, 2015. The company undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. At this time, I would like to turn the call over to Rob Pomeroy.
Robert Pomeroy: Good morning, and thank you all for joining us. It's a beautiful morning here in New England. On today's call, we will provide details of our successful 2015 results and give you an overview of the markets that we serve. But, first, I would like to speak to several topics that are impacting the BDC sector in general, and reemphasize what is unique and compelling about the Horizon strategy and its value proposition for shareholders. Share prices for the BDC sector as a whole are trading well below historical levels and net asset values. Why are BDC share prices depressed? Several macro issues are offered as possible reasons, including concentrations in oil, gas and energy-related investments, exposure to foreign markets, the possible start of a down credit cycle in middle market lending and the potential for interest rates to rise. It's important to note that none of these macro issues have a direct impact on Horizon. Horizon has no direct investments in the oil, gas and energy markets and has no direct exposure to foreign markets. Our credit quality remained solid with a flat NAV, down less than 1% from the third quarter. And we operate in a venture lending market, whose credit cycle historically has not been correlated to middle market lending. Finally, the coupons on Horizon's portfolio are structured to increase, when interest rates rise. So rising interest rate environment is expected to be accretive. In addition to these macro issues, some shareholders, analysts and commentators have also raised BDC sector concerns, including overaggressive capital raising, deterioration in credit quality, concentration in CLOs and misalignment of incentives with shareholder interest. With respect to these issues, Horizon has had one equity raise since 2012; a follow-on offering in March 2015, that was accretive beginning in the third quarter; our NAV has remained basically flat for the past eight quarters; we do not purchase CLOs or any syndicated loans in the open market, instead we do the old fashioned hard work of directly originating high-yielding loans in especially niche market; and lastly, Horizon has aligned its management incentives with its shareholders by amending its investment management agreement in 2014 to add an incentive fee waiver and deferral mechanism, and in 2015 implemented a share repurchase program. Even more important than avoiding macro and BDC sector issues, Horizon has its own unique value proposition, which is centered on the Horizon strategy. We are a pure play in venture lending to exciting and dynamic technology and life science companies that are developing game-changing technologies. We love this space and the opportunities that we see and have seen for over 25 years. As a pure play in venture lending, Horizon provides investors an opportunity to participate in the venture and technology space with benefits of lower risk and equity, regular dividends from current income and the potential for additional dividends or share price appreciation. Our secured loans provide high current pay yields as well as the potential for equity upside through warrants and success fees. In addition, our loss experience has been favorable, because our secured loans have relatively low loan-to-value. This was true during the tech boom and bust through the early-2000s and through the financial crisis of 2008 through 2010. The benefits of our strategy that I have just mentioned and our solid execution enabled us to report strong results in 2015. Specifically, we continued to achieve an industry-leading and consistent portfolio yield of over 14%; we experienced liquidity events from 17 portfolio companies during 2015; our earnings covered our distributions for two consecutive quarters. Including our fourth quarter distribution, we have paid a stable distribution for 14 consecutive quarters, with $8.03 per share and declared cumulative distribution since our IPO; we've declared distributions totaling $0.3450 per share payable during the second quarter of 2016; we continued to maintain credit quality and our cumulative credit experience has remained strong; and we began executing a share buyback with 26% of the total authorization purchased to date. Now, I want to briefly highlight Horizon's legislative efforts on behalf of the current effort to reform and modernize the BDC rules and regulations. Last week I was pleased to join with other BDC leaders on Capitol Hill, as the only representative of the venture lending sector, meeting with senators and their staffs to promote the BDC Modernization Bill. Horizon is committed to helping get this legislation passed to further BDCs ability to provide growth capital to businesses. Before turning over the call to Gerry and Chris, I want to welcome Joseph Savage, to our Board of Directors. Joe will fill the vacant seat, which resulted from the untimely passing of Chris Woodward, our former lead Independent Director. Joe has an impressive background as a business leader in the Connecticut Community, and an extensive career in lending and senior management. He is the Executive Vice Chairman of Webster Bank, and we welcome his experience and leadership to our Board. Gerry, will now update you on our origination efforts, liquidity events, the headwinds in the market, competition in the venture capital environment. Chris, will then detail our operating results, capital outlook and financial condition. Gerry?
Gerald Michaud: Thanks, Rob. Good morning, everyone. During the fourth quarter, Horizon funded seven new loans totaling $18.5 million. For the year, Horizon funded 37 new loans totaling $123 million, representing a 29% increase over 2014 fundings of $95 million. As a result, our portfolio grew by more than $45 million or 22% for the year. We were able to achieve this measured growth by maintaining a strong pricing discipline as reflected in our onboarding yields of over 12% and portfolio yield of 14.2% for the fourth quarter and for the full year. We experienced liquidity events from three portfolio companies during the fourth quarter, which included receiving total proceeds of $455,000 from one warrant and one success fee. We also received prepayment and accelerated end-of-term payments from one portfolio company. The fourth quarter liquidity events brought Horizon's total number of liquidity events in 2015 to 17. As of December 31, 2015, Horizon's unfunded loan commitments, all priced at floating interest rates, were $10 million to five companies. In addition, already in the first quarter of 2016, we have been awarded four new transactions totaling $13 million and funded four transactions totaling $14 million. We also have experienced one liquidity event in the first quarter. We expect the size of our portfolio to remain flat or to grow slightly for the first quarter. We are pleased with the measured growth in our portfolio during 2015 and our consistent ability to achieve attractive pricing and maintain solid credit quality. Our ability to achieve these positive results for our shareholders was in part a result of our contrarian marketing strategy over the last eight quarters to weight our portfolio towards technology. For those of you that have been following Horizon over the last two years, you may recall we have been signaling that our strategy has been to selectively weight our portfolio toward technology, because we believe it provided an opportunity for better quality, higher yielding investments compared to investments in an overheated life science market that offered venture debt investors single-digit interest rates, low warrant coverage, inflated valuations and oversize credit commitments, which resulted in poor risk adjusted pricing. I am happy to report that our technology strategy was proven very successful in 2015. Of the six liquidity exits from mergers and sales of our portfolio companies, five were technology companies. In addition, in the first quarter one of our technology portfolio companies was acquired and two other technology portfolio companies have notified us that they have term sheets to be acquired in mid-2016. While there is no guarantee that these transactions will close, I believe they are compelling examples of how Horizon is able to consistently maintain one of the highest yielding portfolios in the BDC industry, through its knowledge and experience, and identifying which markets will provide the highest quality and best price investment opportunities. While we were successfully deploying our strategy in the tech markets in 2015, the life sciences market began to soften. In the second half of 2015, the life science IPO market weakened, with only 18 life science IPOs in the second half of 2015 compared to 34 life sciences IPOs in the second half of 2014. As a result, some venture lenders terminated their commitments to life science companies in order to reduce their exposure to the life science market and their committed backlog. With a less predictable IPO market for life science companies going into 2016 and with many of our competitors having pulled back or out of the life science market, we are now seeing significantly improved opportunities to selectively and directly source quality life science transactions at much improved pricing and deal structures. As a result, we expect to increase our portfolios for exposure to life science companies during 2016 by maintaining a targeted investment approach. Our rationale for seeking more opportunities in life science sector is based on several factors, including the following. We are seeing less competition for debt transactions from other lenders that have either left the market or are reducing their exposure to life science. We expect less competition from public equity. And much of the debt incurred by life science companies from 2013 through 2015, provided interest-only terms that did not match their milestone timelines for FDA approval. Thus, much of the debt will begin amortizing before many life science companies have their FDA approvals or generating positive cash flow. As a result, many life science borrowers are coming back to the market to refinance their debt. We expect this trend to continue in 2016 and 2017. With fewer competitors in the market to meet loan demand, Horizon believes that we'll be able to selectively source high-quality investment opportunities in the life science sector at attractive pricing and with strong equity upside potential. This potential will be enhanced by lower life science company valuations in both the public and private markets. Turning now to venture capital investing during the quarter. While venture capital investment reported by the National Venture Capital Association of $11 billion during the quarter continue to be healthy, it represented a sharp decrease from the $16 billion reported in Q3 of 2015, and was the lowest level investments since Q3 of 2014. It appears that VCs continue to make significant equity investments in later stage growth-oriented companies with rational valuations, but VCs are reducing investments in overvalued companies, especially Unicorns and portfolio companies that are significantly underperforming. M&A activity remained fairly robust in the fourth quarter with 91 VC-backed transactions, of which 62 were technology-related companies. We anticipate this activity will continue to be strong in 2016, as VCs seek to exit later stage technology companies and technology buyers look to enhance their product offerings through acquisition. We believe our portfolio of 89 warrant and equity positions and 10 success fees is well-positioned to benefit from M&A activity in 2016, evidenced by the already closed M&A transaction and two potential M&A transactions in our portfolio, which I previously mentioned. With that update, I will now turn the call over to Chris.
Christopher Mathieu: Thanks, Gerry, and good morning, everyone. Our consolidated financial results for the three months and year ended December 31, 2015, have been presented in our earnings release we distributed after the market closed yesterday. We also filed our Form 10-K with the SEC last night. For the fourth quarter of 2015, total investment income was $8.6 million compared to $7.3 million for the fourth quarter of 2014 or an 18% increase. This change was primarily due to higher interest income on investments resulting from the higher average size of our loan portfolio as well as additional fee income. For the full year ended December 31, 2015, total investment income remained flat at $31 million compared to the prior year. Although flat, 2015's investment income included more predictable earnings from a larger portfolio, which was less reliant on the positive impacts of loan prepayments. We continued to generate attractive onboarding yields with new loans, averaging onboarding yields of 12.3% for the fourth quarter compared to 11.9% in the prior quarter. Combined with portfolio liquidity events, we achieved strong portfolio yields, generating 14.2% for the fourth quarter and for the full year. The primary changes period-to-period to portfolio yields are driven by the timing of new loan originations and the timing and extent of loan prepayments and the related fee income from those prepayments, including prepayment fees and acceleration of previously unamortized end-of-term payments. Total net expenses were $4.5 million for the fourth quarter of 2015 as compared to $4 million for the fourth quarter of 2014. Total net expenses for the full year 2015 decreased by $3.3 million or 16% to $17 million as compared to $20 million for the full year 2014. Interest expense for the full year 2015 decreased by $3 million or 34% year-over-year to $5.8 million due to a decrease in the average outstanding borrowings of $14.8 million or 14% along with a decrease in our effective cost of debt. Base management fee expense remained flat at $4.4 million for the full year 2015 and 2014. Base management fee expense remained flat primarily due to the waiver of base management fees of $350,000 related to our March 2015 public equity offering, offset by an increase of $6.4 million or 2.6% in our average assets. Professional fees for the full year 2015 also decreased compared to the full year 2014, due to a decreased legal fee and other costs associated with certain non-accrual investments in other assets. We earned net investment income of $0.35 per share for the fourth quarter as compared to $0.33 per share for the fourth quarter of 2014. For the full year of 2015, we earned net investment income of $1.25 per share as compared to $1.11 per share for the full year of 2014. After paying distributions of $1.38 per share in 2015, declaring in 2015 a distribution of $0.1150 per share payable in January of 2016 and earning $1.25 per share, the company's undistributed spillover income as of December 31, 2015, was $0.11 per share. To compliment our distribution policy and growth strategy in September 2015, our Board authorized a $5 million share repurchase program. During the fourth quarter, we repurchased approximately 113,000 shares of our common stock at an average price of 83% of NAV at an aggregate cost of $1.3 million. As of December 31, our NAV was $13.85, a decline of $0.09 per share compared to the third quarter. We ended 2015 with an investment portfolio of $250 million, an increase of $45 million or 22% as compared to 2014. This portfolio consisted of secured loans to 52 companies with a fair value of $242 million, a portfolio of warrant and equity positions in 89 portfolio companies with an aggregate fair value of $8 million, including 13 companies that are already public. New loan originations in the fourth quarter of 2015 totaled $18.5 million to seven portfolio companies, which were offset by $8 million in scheduled principal payments and $8 million in principal prepayments. Loan originations for the full year 2015 totaled $123 million to 37 portfolio companies, which were offset by $27 million in scheduled principal payments and $48 million in principal prepayments. At yearend 92% of our loan portfolio was performing at or better than expected at the time of underwriting. We did have one non-performing loan in the portfolio at the end of the year with a cost of $2.7 million and a fair value of $500,000. Subsequent to the end of the year, we exited that debt investment. We received cash proceeds and royalty in sale agreement in connection with the exit equal to an aggregate fair value of $500,000. Now that we have successfully reached our overall target leverage, we expect to maintain or slightly increase the current portfolio and makeup of the portfolio in 2016. In terms of liquidity, Horizon ended the fourth quarter with $23 million in available liquidity, including cash and funds available under our credit facility. As of December 31, we had $68 million outstanding under this facility. While we extended and expanded this facility in August, we will continue to look towards further expansion. In addition to our credit facility, our asset-backed notes had a remaining balance of $14.5 million outstanding at yearend. We expect the notes to be fully paid off in the second quarter. We continue to have $33 million in publicly traded baby bonds, which we expect will be held into maturity in 2019. We continue to see demand for all of these leverage products in the market and are exploring the expansion of our credit facility and asset-backed securitization to provide us additional capital to leverage our investment portfolio. It continues to be our intention to target overall debt levels to a target ratio of 0.75 to 1. At December 31, our actual leverage ratio was 0.72 to 1, as we increased the use of our credit facility as our primary source of capital in 2015. One last topic, before we go to questions. We want to share a little background on our interest rate sensitivity. Like all BDCs, we may be subject to financial market risks, including changes in interest rates. As of yearend 2015, 93% of the outstanding principal amount of our debt investments were interest debt floating rates. This compares favorably to 64% as of yearend 2014. We expect that our debt investments in the future will primarily have floating interest rates. Based on our December 31, 2015, consolidated statement of assets and liabilities, we have determined that for a 100 basis point increase in LIBOR, we will increase annual net interest income by $1.6 million or $0.14 per share. This increases to $2.8 million or $0.25 per share with a 200 basis point increase in LIBOR. And further $3.5 million or $0.32 per share with a 300 basis point increase in LIBOR. The bottomline is that Horizon is not afraid of rising rates, but rather embraces the potential for rate change and expects to benefit from both a modest move and a more dramatic move in LIBOR. Before we open the floor to question, I'd like to note that we plan to hold our next conference call to report first quarter results during the week of May 2. This concludes our opening remarks. And we'll be happy to take questions you may have at this time.
Operator: [Operator Instructions] Our first question comes from the line of Leslie Vandegrift with Raymond James.
Leslie Vandegrift: First of all, good quarter. Coming in, I know is hard at the end of year, but coming in right in line with loan origination, so congratulations. I wanted to ask about that actually, specifically, you guys were kind of right on in your guidance for the fourth quarter. So I was hoping to get some more color on your expectations for 2016. And then after that kind of some color on net asset value on the markdowns, because you guys were less obviously than your peers by a good bit. And obviously we felt spread widening in the space versus some credit issues at other BDCs. And so just some of that breakdown would be nice?
Gerald Michaud: So as it relates to 2016, we think our portfolio is at a stable level. We've hit our overall target leverage of pretty near of 0.75x, so we think the portfolio will be generally flat to slightly up. So the earnings potential of the portfolio is pretty strong with consistent onboarding yields. We'll be looking for some normal prepayment activity, although it's hard to estimate when or how many. From an NAV perspective, I guess, your real question is asset quality, so let me just turn over to Rob to just talk about the asset quality in the portfolio.
Robert Pomeroy: So the NAV was down less than 1% from the third quarter, a lot of ups and downs in that, but we believe our credit quality remains very solid. Chris had mentioned the one non-accrual loan, but we were able to resolve that early in January. You never to like have that kind of outcome, but I think the negative impact of that is contained and really has no impact going forward on our NII.
Operator: Our next question comes from Ryan Lynch with KBW.
Ryan Lynch: First one, over the past few quarters, you guys have had some fee waivers, and with those fee waivers the dividend has been fully covered. As we move forward, you guys have met the conditions for those fee waivers are not required anymore. So now that those fee waivers are not going to be required going forward, how confident are you around covering that dividend excluding those fee waivers? And what are your thoughts around potentially extending those fee waivers to the extent necessary that you're not covering the dividend with NOI earnings?
Robert Pomeroy: We implemented those fee waivers primarily as we build the portfolio back up from raising the capital. We were pretty confident that we could -- that that would be accretive long term. And now that we've reached our target leverage, we expect that the earnings from our portfolio will be strong enough to cover our dividend with NII over time. And that's really what we've been preaching for quite a while.
Ryan Lynch: And then I wanted to just go back to the fair value marks and the write-down for the portfolio this quarter. So it looks like you guys had about a $2 million write-down, and I'm probably going to [ph] push this name, but -- as that draws that one non-accrual this quarter. So if you exclude that that was $2 million of a write-down this quarter. Your portfolio had unrealized depreciation of about $1.4 million, so excluding that one write-down in your non-accrual, it looks like the portfolio actually appreciated by about $600,000. So am I thinking about that math right, number one? And number two, how did the portfolio actually appreciate its fair value mark in the quarter excluding the one non-accrual given the backdrop of the credit markets in the fourth quarter?
Robert Pomeroy: Your math is pretty closed to being spot-on. On balance our credit quality remains very strong. We have sort of normal migration of accounts and we actually feel like the portfolio actually improved notwithstanding that one loan that we made to ZetrOZ. The other rest of the movement is sort of in the warrants, and so I think you are thinking about that correctly, Ryan.
Ryan Lynch: And then just one last one. I believe, you said that you believe that your asset-backed notes are going to pay down at the end of the second quarter or by the end of second quarter. It looks like you guys have about $45 million of assets still pledged in that securitization. So is the thought process once those notes wind down and payoff to take those assets, and pledge them to the credit facility and expand the capacity on that credit facility or what are you thinking about on the liability side going forward as those asset-backed notes pay down?
Christopher Mathieu: Yes, exactly what you described. So we have two options. One is to, once we relieve the debt obligation on the securitization, we can move those assets to any other vehicle we choose, which would include the key bank facility. Currently, its $70 million facility and we have the ability to increase that up to $150 million by either having existing vendors provide more capital or bringing in other quality vendors into the syndicate. So that's certainly a very good option for us to bring those existing assets into that existing portfolio. The thing is those are really good assets and they're well diversified and seasoned, so facility would absorb those very well in the structure that's there. The alternative is to go out and seek where there is substantial interest in the securitization to effectively take the portfolio and put it into a securitization pool much like we did in the general structure a couple of years ago.
Operator: Our next question comes from the line of Casey Alexander with Ladenburg Thalmann.
Casey Alexander: You've answered most of my questions, but as it relates to the ZetrOZ resolution, I mean should we be -- you mentioned that there is sort of a contingent forward-looking piece to the resolution. So from a booking standpoint, should we be booking at $2.2 million realized loss and a corresponding $2.2 million unrealized recapture0, and therefore no impact on NAV or is this going to be booked differently somehow?
Christopher Mathieu: No, you're correct, Casey. So the $500,000 is the fair value at December and that was what the basis of the transaction was that we completed in February.
CaseyAlexander: So its booking a $2.2 million realized loss, a $2.2 million unrealized gain, and no further impact on NAV?
Christopher Mathieu: Exactly correct.
CaseyAlexander: Secondly, obviously while there was volatility in Q4, there was clearly a high-degree of volatility in the first six weeks of 2016. Was the company able to take advantage of any of that volatility and push the share repurchase program a little further down the road and maybe at even more advantageous prices than they did in Q4?
Robert Pomeroy: Unfortunately, no, because we're subject to the blackout policy, Casey, so we have to wait until after we clear the earnings.
CaseyAlexander: Well, I mean, I would argue that the price right now is still slightly below your average price in Q4, so we should be out of that blackout period in the next 48 hours or so. Is it the company's intention to push this share repurchase program a little further down the road here in Q1?
Robert Pomeroy: We had $5 million program. We've executed 26% of it in the first quarter that was in place, and we'll remain focused on doing that.
CaseyAlexander: We certainly appreciate the fact that unlike some others in the BDC group that you've announced the share repurchase program and you've actually executed against it, that's very favorable. Is the company holding back -- some cash has moved up to $22 million, is the company holding back some cash from investment because of the potential close out of the Horizon Funding Trust, is that kind of the capital structure strategy that we're seeing play out here?
Christopher Mathieu: No, the securitization actually deleverages itself as the loans pay back, so that's not the strategy. The cash that's on the books is really to fund between the cash and the available liquidity on the revolvers to fund our existing commitment level. And that -- 
CaseyAlexander: So what you're saying is, because I thought there was trigger like $10 million where if it came down to $10 million, whether or not you had a pay off event against it, you had to go ahead and close it out, what you're saying is that during the second quarter it's going to naturally close out through repayments that you see on the Horizon?
Christopher Mathieu: No. The provision you're referring to, it is a 10% provision, which allows optional prepayment by the company. So with the $9 million we have the option, but not the obligation to pay off that debt. So it's an option for us, but not an obligation. There is no triggers that we see on the Horizon that would force an acceleration or a prepayment.
CaseyAlexander: So you're just saying, it's going to naturally pay down by your pay-offs by some time in Q2?
Christopher Mathieu: Either naturally or through expansion of the revolver, that we may choose to take the assets that are on the securitization and move them over to an expanded credit facility.
Casey Alexander: And you're in active discussions with potential lenders to expand the revolver?
Christopher Mathieu: Yes. I think for the past -- back in August, we added a lender. And we communicated to the Street over the past couple of quarters that that's an interest to grow the facility at a reasonable rate rather than bringing on a whole bunch of lenders all at once. And so that's a natural progression for us to continue to stay in the market to talk to not just lenders, but also securitization investors. So that's always an ongoing process for us.
Casey Alexander: And just to make sure that I heard this right, what you're suggesting is flat to slight portfolio growth for the year of 2016 and similarly a similar language for Q1 of 2016?
Christopher Mathieu: Agreed, yes.
Operator: Our next question comes from the line of Christopher Testa with National Securities.
Christopher Testa: Just with the $18.5 million of originations in the fourth quarter, just seemed a little bit light. Were you somewhat holding back from the originations? Were the opportunities not as good in terms of structure or pricing, comparatively to what it was in the previous quarters? Can you just give us some color there?
Gerald Michaud: We actually experienced somewhat a slowdown in opportunities in Q4, especially toward the end of the year. I don't know if companies were just focused on growing their business and kind of restructuring their finances, but we actually didn't see a whole lot of high quality opportunities during Q4, which was a little unusual because usually that is a pretty good quarter for us. However, I will say that literally, right out of the gate in Q1, activity picked up quite significantly and our pipeline grew rapidly. So whatever caused that was clearly temporary. And like I had mentioned earlier, we're seeing a lot of opportunity in the life science sector, either for refinance opportunities, for debt that had been put on the books in 2013 and 2014 that's now coming off interest-only, and also new opportunities in life science sector.
Christopher Testa: So with the life sciences commentary, just I guess real quickly, how much could you quantify, how much incremental yield are you being able to pick up in that market so far in 2016? And do you see that becoming, because of the better opportunities, becoming a bigger portion of your portfolio or should that be somewhat constant with what it's been?
Christopher Mathieu: As it relates to picking up yields, we have a pretty disciplined onboarding yield policy around here. And having understood the risk of venture lending for many, many years. We don't stray from that too much, because markets might get a little overheated, which is why we kind of pulled back a little bit from the life science market. So what we're seeing now are yields that more consistent with our strategy, and so to the extent that those opportunities present themselves, we love the life science market, we always have, and so we are now very interested in kind of just shifting the weight a little bit back towards life science. That said, we always kind of maintain a 60:40 portfolio and we work within that 60:40 technology and life science depending on what's going on in the market at any given time. And so over the last two years, we're seeing much better opportunities on the tech side. So if you look at our portfolio, it's little bit more weighted on the tech side today. But generally that pendulum only swings by about from between 60:40 one way or the other. And so we're going to look to kind of rebalance that a little bit more back toward life science, but still stay within a very diversified 60:40 ratio of life science technology.
Christopher Testa: And just with regards to leverage, I know you guys have tried to say it between 0.75x to 1x. Just what should we look at as your appetite to take on balance sheet leverage, just taking into account potential improved fair value marks to be negative, given where spreads are going? I guess how are you looking at the market environment and your portfolio and where we should expect balance sheet leverage to be at for the coming year?
Christopher Mathieu: So we have stated our long term strategy of being at 0.75x to 1x and that remains our strategy. And being at 0.72x today, we think that we're right in that wheelhouse, and so we may move up a tiny bit here from time to time, but we're right where we want to be generally from a leverage perspective. The particular leverage vehicle may change or increase or shift, but the overall leverage, we're right where we want to be now.
Operator: Our next question comes from the line of Jonathan Bock with Wells Fargo Securities.
Jonathan Bock: One item as it relates to biotech, do you have some life sciences in the portfolio? And as we've seen kind of the biotech industry or the index rather down, 30% since December, 31, give us a sense of potential stress and/or kind of forward valuations of your biotech holdings and how that ties to your leverage? Because I understand you're in debt, but when we generally see stress in equity, it always leaves a question for investor to ask is, are there potential valuation hits to come with an index off that much?
Christopher Mathieu: I think that's one differentiator between us and some others in the market, is that we only have from an equity perspective $8 million of our total, $260 million portfolio in equities and substantial potion of that is actually in the warrants of private companies, well diversified, as Gerry said, not really heavy in the biotech arena. So although we do have about a dozen companies that are public, and are in some cases biotech that is not a big piece of our portfolio, so even if there was a large shift in that little niche of our portfolio would not have any material impact on NAV, and therefore not really any impact on the overall leverage of the company, but it's a good question.
Jonathan Bock: Maybe, I'll rephrase it a bit. Are you seeing valuation or enterprise value compression across your life sciences to the point where your venture capitalist are now contemplated with the choice of down routes?
Robert Pomeroy: Well, we do see that, as overall valuations become tighter that the capital raising is more difficult. But all of that's fully reflected in the ratings and fair value and what we do with the loans, Jonathan.
Jonathan Bock: And then, I guess, the need for debt then rises. But maybe your view in terms of credit quality going forward, because it's more of a companies with adequate liquidity, et cetera, in light of the tighter capital raising environment for VCs and given the legacy investments that all BDCs have in venture, right, and no one is any different, just curious if you would find it appropriate for us to model some amount of non-accruals a bit higher or if you actually expect over time this is normal, well-underwritten loans, really no expectation of near-term credit losses going forward? Just a question every one asks in light of what they see in public equity. And to your point, Chris, everybody realizes, it's not the same, I totally get it, but generally when valuations is compressed, right, it tends to effect everybody, hence the question.
Christopher Mathieu: Again, it's a valid question, Jon. And I think that this is not our first time to the rodeo. We've been through this kind of cycles before. But we are seeing support. These companies have long, long development horizons and timelines. And where the money comes from, whether they are public already and they have to be supported by pipes or whether the investors remain supportive, all of that's fully vetted into our analysis of our portfolio and our fair value markets. So we're certainly keenly aware of the cycles within these markets and we stay on top of these loans very aggressively.
Jonathan Bock: Well, I mean, it's always better for the investors to be in debt instead of the equity. And thank you for your descriptions, I appreciate it.
Operator: There are no further questions. I would now like to turn the call back to Robert Pomeroy, Chairman and Chief Executive Officer, for closing comments. End of Q&A